Operator: Good afternoon, and welcome to our results presentation for the 6 months ended 30th of June. I'll shortly hand you over to our CEO, Colin Godfrey. But before I do, a couple of points to note. [Operator Instructions] As a reminder, we are in an offer period, so we are restricted in answering questions relating to our offer for Warehouse REIT. Thank you very much.
Colin Richard Godfrey: Hello, and welcome to our results presentation for the first 6 months of 2025. I'm Colin Godfrey, CEO of Tritax Big Box. As usual, I'll kick off with our key messages before handing over to Frankie, our CFO, to give an update on our financial and operational performance during the first half. I'll then outline the significant strategic progress that we've made in the period. And finally, we'll open up the lines for Q&A. As outlined at our Capital Markets Day in June, the key message I want to deliver today is that as well as driving strong operational performance, we have embedded very significant potential within our business with the ability to deliver earnings growth of 50% by the end of 2030. And this will drive exceptional shareholder value, including superior risk-adjusted returns from our logistics and data center developments. And as we outlined here, we are making excellent strategic progress. We're delivering strong performance with attractive growth across all of our key financial KPIs. Our strategic execution is progressing well with the UKCM Logistics assets now fully integrated and performing well, and the noncore disposal program fully on track. We've also secured a second data center opportunity and successfully refinanced 2 debt facilities. And we have 3 powerful growth drivers that are delivering today and with the potential to deliver even more in the future. Record rental reversion supported by ongoing ERV growth as a result of being positioned in the right submarkets, an attractive logistics development pipeline that can capture the substantial and enduring demand for new buildings, and exceptional returns through data center developments. Now it's important to stress that we carefully mitigate the risk across all our development activities by deploying our capital with pinpoint precision and taking advantage of the flexibility that we've deliberately built into our pipeline. Now I'll touch upon all of this in a moment. But for now, I'll hand you over to Frankie to explain the detail behind our strong performance in the period. Frankie?
Frankie Whitehead: Thank you, Colin, and hello, everyone. Turning to the key financial highlights. As Colin says, we've delivered another period of strong performance. We've generated attractive levels of growth in adjusted EPS of 6.4%, and this has supported our growth in dividend per share of 4.9% for the period. Our property valuation performance has led to growth in EPRA NTA per share of 1.4%, to 188.2p. And the total accounting return for the 6 months of 3.6%, which is ahead of this time last year. This is enhanced, however, when excluding certain nonrecurring items, which I will set out on a later slide. So along with making significant strategic progress, our financial headlines demonstrate that it's been another positive half for the company. Looking at income and earnings in more detail, we've continued to deliver growth in net rental income. This has increased by 17.3% to over GBP 149 million for the half, principally due to the acquisition of the UKCM portfolio in May of 2024, which has now contributed for the whole of the first half of this year. And we continue to operate with an efficient cost base. Our EPRA cost ratio, shown bottom right, is 12.9%, excluding vacancy costs. Our headline adjusted EPS grew by 6.4% to 4.63p. In line with our policy, the overall dividend per share was 3.83p, up 4.9% from the prior period, resulting in a consistent dividend payout ratio of 89%. And as the top right-hand chart shows, we continue to have significant embedded rental potential. Our balance sheet remains very strong, underpinned by our high-quality investment portfolio. Over the period, our portfolio value increased by 4.2% to GBP 6.8 billion. This includes a GBP 92 million gain on revaluation. And we continue to generate excellent opportunities to allocate our capital, as you can see on the top right. On the bottom right, we show that this has mainly been financed through our disposal program, with GBP 278 million of assets sold in the year-to-date. While we've been busy investing for growth and integrating the UKCN assets, we continue to deliver strong underlying total returns. Now this bridge obviously only covers the 6-month period, but starting on the left with our 2.5% earnings yield, we have incrementally added 1.4%, and 0.9% to returns from our investment and development portfolios, respectively, delivering an underlying total accounting return of 4.8% for the 6 months, or 9.6% when annualized. There are 2 items which are separated from this underlying performance. The first is a reduction relating to the noncore asset performance, and the second is an impairment recorded against a single site held under land option as a result of planning-related delays. Both of these items could therefore be considered as nonrecurring. All of these movements combined delivered the reported total accounting return of 3.6%. And on the right, we highlight some of the key drivers of value. We continue to see attractive levels of ERV growth. This stood at 2.3% over the last 6 months, or 6% over the past 12 months. Turning to look at our operational performance in more detail. We're pleased to report that our active asset management continues to deliver good levels of rental growth. And you can see here that we've added GBP 5.6 million to our annual rents across the 6 months. As we outlined in the chart on the top left, 17.2% of our contracted rent was either reviewed or subject to lease events in the period, delivering a like-for-like rent uplift of 10.3% across those leases. Our rental performance in any given year is determined by the proportion of our leases subject to review, or lease events. As you can see on the bottom left, 2025 is a year of proportionately lower reviews. But as we look forward, we have a larger level of reviews falling due in 2026 and 2027, which should lead to an acceleration in income capture. Now looking on to the right. I've shown more detail on how vacancy within the portfolio is evolving, and particularly highlighting the difference between our underlying portfolio and those newly developed assets coming through our development pipeline. And after the period end, we were pleased to report the letting of newly developed unit at Rugby. As a result, you can see the pro forma vacancy figure reduces by over 110 basis points to 4.5% as we stand here today. Turning to our development progress. This slide demonstrates how we continue to create value through our development pipeline. Consistent with last year, we're expecting our activity to be second half weighted. In the period, we had 0.8 million square feet of developments reaching completion, adding GBP 1.5 million to passing rent and with the potential to add a further GBP 2.6 million subject to leasing. 0.4 million square feet of this was delivered under a DMA contract. As you know, enhancing our sustainability performance is embedded across all our activities, and this continues to contribute to preserving and creating value. We've outlined here some of the key targets across our 4 sustainability pillars, and I'm glad to say we're making good progress towards our 2025 targets. And this is all continuing to be reflected in our strong ESG ratings, including MSCI, GRESB and CDP as outlined along the bottom of the slide. Turning now to our balance sheet. I've already highlighted that this remains strong, and it provides us with financial flexibility whilst insulating us from some of the volatility we continue to see in the capital markets. Let's start on the top left, where our debt maturity profile is well diversified by both source and maturity. Noting that during the period, we have successfully refinanced 2 loans that were due to mature in the following 12 months. And in the right-hand chart, we show that the potential from our rental reversion and vacancy capture, shown in the blue, is expected to far exceed the likely increase in finance costs shown in gold, as we gradually refinance our facilities into the future, thus underpinning our future earnings growth. Looking forward, we are continuing to invest for future growth. We are reiterating the guidance we set out at our recent Capital Markets Day. So drawing this all together, it's been another period of progressive operational and financial performance for the business. We've increased our net rental income by over 17%, adjusted EPS by 6.4%, and we've delivered a strong underlying 4.8% total accounting return for the half, or 9.6% when annualized. And we continue to be in a very strong position looking forward, supported by our strong balance sheet and our multiple proven funding levers. This underpins our 3 very clear and compelling growth drivers, which we are delivering against. And it's important to note that due to the careful way we think about and manage risk, we believe this gives us the ability to deliver superior risk-adjusted returns through our high-quality investment portfolio, and through our attractive logistics and data center development opportunities. And with that, I'll hand you back to Colin.
Colin Richard Godfrey: Thank you, Frankie. Well, I'll now provide an update on our strategic progress. Starting with an update on the occupational market. Let's first look at occupational demand for industrial logistics. Structural demand drivers such as shifting consumer behavior, evolving supply chains, and the drive for sustainability continue to underpin long-term demand. And at the same time, there remains significant and systemic barriers to new supply in the U.K., particularly the challenging planning process, which limits the speed that new projects can come to market. After a subdued start to the year, leasing activity picked up from May, and we saw 11.7 million square feet of take-up in the first half, up 12% year-on-year, as shown on the left. Despite macroeconomic uncertainty, this robust demand reinforces the critical nature of logistics buildings. Space under offer at midyear remains solid at 9.9 million square feet. And looking forward, we expect second half demand to be consistent with recent years. Market vacancy, as shown bottom left, has increased to 7.1%. But going forward, the 12-month development pipeline will be lower with speculative space under construction significantly down to 7.3 million square feet from 12.8 million at the year-end. And our own portfolio is well placed. Inquiry levels are up compared to the year-end, including more pre-let conversations, and we have a higher proportion of demand at a more advanced stage of negotiation than we did 6 months ago. The market also continues to see good levels of rental growth. MSCI rental values increased by 2.4% in the first half with our own portfolio performing in line with this. Turning to the data center market on the right. Market dynamics remain very strong with approximately 2.1 gigawatts of additional demand anticipated by 2029 compared to the current installed base of 1.1 gigawatts. This is evidenced in the exceptional interest that we've seen in our Manor Farm project with discussions advancing with 15 potential clients. Turning back to our strategy. It's important to emphasize that we've developed this in anticipation of the changing market conditions that we see today. We believe our high-quality portfolio underpins the strong income characteristics of our business, providing shareholders with a high degree of resilience. We actively manage assets to really drive value, and we optimize our portfolio by constantly recycling capital into higher returning opportunities, particularly into our development pipeline, which now encompasses data centers. This strategic focus gives us three very clear growth drivers that you can see here on the right. Capturing record rental reversion, developing our attractive and flexible logistics pipeline and driving exceptional returns through data centers. Let's look briefly at each of these growth drivers in turn. First, how we are capturing our record rental reversion. Now as Frankie outlined, we've already made excellent progress in the first half of this year, and there's plenty more to come. We show here the benefit of capturing our record rental reversion and reducing vacancy, which could add GBP 83.8 million to contracted rent. And as highlighted on the right, we anticipate capturing approximately 77% of that over the course of the next 3 years. I'd now like to look at our active asset management in more detail, including UKCM, the acquisition that we completed in May of last year. We successfully integrated the UKCM Logistics assets into our own business earlier this year. This means that we have the same visibility and data analytics as we do for our Big Box portfolio. Our asset managers have created business plans for each property and are actively progressing these opportunities. And you can see this clearly in the financial performance that has been delivered over the period, during which we've grown rents by over 13%, adding GBP 4.5 million per annum. And on the right, you can see that we've made excellent progress in selling UKCM's non-logistics assets, which now represent less than 3% of our GAV. We've now sold assets in every subsector, and I'm pleased to report that we are tracking precisely on plan. So UKCM has already been a great success for us, and we expect that to continue. Turning now to our second growth driver, logistics development. Here, we continue to deliver attractive returns whilst creating new best-in-class buildings for our investment portfolio. Our development model is highly flexible, capital efficient and gives us the ability to deploy capital with precision and accurately match market conditions. Our approach to development minimizes risk and maximizes returns, such as the use of long-dated options to control development land, which is capital efficient and flexible, as shown bottom left. And as Frankie mentioned earlier, shortly after the period end, we announced a significant letting at one of our speculatively developed buildings at Rugby. This letting to a leading data management business highlights the attractions of the location and our successful approach to development, setting a record rental level for the park, adding GBP 3.9 million to our annual rent roll and at a yield on cost at the upper end of our guidance range. With high levels of occupier interest, we expect development lettings to be second half weighted, consistent with 2024. And we're applying the same low-risk and high-return philosophy to opportunities in data centers, our third growth driver. Power is the scarce ingredient required to unlock value from data centers. And as outlined at our Capital Markets Day, we have invested further in our pipeline of power grid connection agreements totaling over 1 gigawatt, and necessary land in the key locations desirable to data center operators focused on the London availability zone. We're pursuing a pre-let powered shell model, meaning we only deploy significant amounts of capital in construction of data centers when projects are substantially derisked. At Manor Farm, we're putting this low-risk and high-return approach into practice. We have 107 megawatts of power with a firm delivery date in the second half of 2027 and benefit from an additional 40 megawatts of power available from 2029. And we're making excellent progress, with exceptional levels of occupier interest in the scheme with commercial terms expected to be negotiated during the third quarter, and aiming to secure a pre-let by the end of this year. Based on current anticipated timelines, construction will begin in early 2026, in which case the data center could be built and be income producing by the second half of 2027. Our power first approach means that this is an exceptionally rapid timetable in a location that is significantly power constrained and where many others are having to wait until the mid-2030s to have access to power. But we're not stopping at Manor Farm. As outlined at our Capital Markets Day, we purchased a second site for a major new 125- megawatt data center project located within the London availability zone. We're targeting a 10% to 11% yield on cost, in this case, generating GBP 23 million to GBP 25 million per annum in rent. And subject to planning, and in line with our pre-let driven approach to construction, the data center could be income producing in tandem with power delivery in 2028, deploying capital only when the project has been substantially derisked. So drawing our 3 growth drivers together, we believe that we have inherent organic growth opportunities that are compelling and exceptional for a U.K. listed REIT. You can see the building blocks here by capturing rental reversion, building out our logistics development pipeline and adding new exciting data center opportunities, we have the potential to increase annual rental income from GBP 300 million to circa GBP 790 million per annum, and to grow adjusted earnings by 50% by the end of 2030. And assuming a primarily disposal-driven funding model. These figures ignore the possibility of further market rental growth or any yield compression. So there is further upside potential. We, therefore, have a truly compelling combination of reliable, growing income and opportunities to drive both income and capital growth to maximize returns for shareholders. To conclude, we believe our business offers shareholders a compelling combination of superior risk-adjusted earnings growth underpinned by resilience. This is built on the quality, growth and efficiency that we're delivering across the business. The quality of our portfolio provides resilience through the economic cycle and delivers exceptional compounding income from assets that make up 91% of our GAV. Building on this, we have powerful organic growth drivers, which I've talked about in detail. For each of these, we see ways to maximize returns while minimizing risks. And finally, we have an efficient, low-cost and agile structure, benefiting from triple net leases, and with access to multiple funding sources at attractive costs. And our strategy is really working. We're delivering attractive earnings growth, dividend progression and sector-leading total accounting returns. We've got one of the lowest cost ratios for a REIT with an attractive development pipeline, and we've got an incredibly strong balance sheet. Bringing all of this together, we're in a great position to deliver strong earnings growth and superior risk-adjusted returns for our shareholders. That concludes the presentation. Thank you for listening. I'll now hand over to Ian to coordinate Q&A. Ian?
Ian Brown: Good afternoon, everyone, and thank you very much indeed for joining us. We're now going to commence the live Q&A part of the presentation this afternoon. And I've got Colin and Frankie here with me. Thank you very much indeed for submitting your questions through the portal. As a reminder, you can submit questions, I think on the right-hand side of the panel that you're viewing us. And so without further ado, I'll jump straight in. I've got a question asking about capital deployment. You talk about deploying capital with precision, but are there the opportunities out there to be able to do so with such precision? Frankie, one for you to kick off.
Frankie Whitehead: Yes. I think that reference is largely -- thank you for the question, largely focused towards our development pipeline. So just to remind everyone, we have the U.K.'s largest development pipeline for logistics purposes, and we are targeting a 6% to 8% yield on cost for logistics. Equally, we have set out our data center strategy and have launched the first 2 projects on that strategy, and we are targeting a 9% to 11% yield on cost for that particular element. So both are very flexible. We typically are not drawing down land and owning land outright until we have received planning consent. And then when we embark upon construction, we either do that in 2 ways: one on a pre-let basis -- and when we talk about pre-lets, that's an occupier committing to the building before we are constructing it. So we would sort of that is very derisked when it gets to that point. We have a clear line of sight over the returns profile from which we can deliver from that building. That would be the rent would be fully underwritten with the agreement for lease, and we'd have a fixed price construction contract that sat behind that. So we would know to a pretty fine degree what yield on cost and what profit on cost will be generated from that building. So yes, there are absolutely ways that we can do that. In fact, we have got many buildings coming out of the ground at the moment on a pre-let basis. Equally, we do have a running speculative program. There are advantages to having both of those channels available to us. When it comes to the spec program, it's educated spec development. So this is where we're commencing construction, having had a dialogue with a number of occupiers that we think are likely to take the building. And again, in that situation, we are talking rents. We have a clear idea on what the cost is going to be to construct the building. And again, we -- within narrow parameters can identify yield on cost and profit on cost expectations around what that investment is going to return to us and to shareholders. So maybe a long-winded answer, but yes, absolutely, we are in all respects of development, executing with precision.
Ian Brown: Great. Thanks, Frankie. Next question, what is driving the contracted rent growth? And how do you see this progressing over time?
Frankie Whitehead: Yes. So net rental income is up 17% period-on-period. The key drivers to that are, we acquired the UKCM portfolio in May of 2024. So when we look at this year versus the last 6 months, UKCM featured for the full 6-month period. It was only present from the middle of May to the end of June in the 2024 period. So that is a key driver to the overall growth in net rental income. We have obviously got the rental growth capture that we're capturing through our natural lease events. So where we've had rent reviews, or where we've had rent expiries, we are capturing uplifts in rent. That's been strong in the period. We've achieved GBP 5.6 million of growth in our gross rent through rent review capture. And on top of that, we've got the development program. So again, where buildings are completing, where new leases are coming on stream, that is additional rent that is being added to our gross rent. So it's a combination of all of those things. I think the UKCM acquisition is the biggest component given this current 6 months.
Colin Richard Godfrey: Noting also that within UKCM, the logistics component has performed particularly strongly with rents up 13.2% over the period.
Ian Brown: Great. And then maybe just turning to the market. Do you feel there is more rental growth to come given that some thing the market is perhaps a bit toppy?
Colin Richard Godfrey: Yes, indeed, because whilst the market has, to some degree, been slightly subdued against where we thought it would be by now as a consequence of continued macroeconomic headwinds and geopolitical risk. We do see a pressure cooker of demand building. We know that there are significant structural tailwinds that are supporting the logistics market in the U.K. Increasingly complex supply chain frameworks globally. I think there's also been a sort of deglobalization effect. And a lot of our customers are telling us that they want to upgrade to larger, more sophisticated buildings that have the capability of delivering economies of scale benefits, cost savings and efficiencies. And they are investing quite significantly in those buildings in automation, et cetera. So those aspirations, however, can to some degree, sit largely unfulfilled with customers wanting those things, but not yet having confidence to do them. So once we get a bit more macroeconomic confidence in the market, we think probably we'll see a lift in market demand. But of course, all the time in the last recent period, demand has been fairly constant around 20 million square feet of take-up. It's more or less matched against new building delivery. Whilst the vacancy rate has increased, that's mainly off the back of gray space, the secondhand space coming back into the market. And the key thing to note is that you need to be developing new buildings if you want to capture the letting activity in the market because 2/3 of lettings that are being taken place have been for new buildings. And so fundamentally, when you look at our own capture of rental growth, when you look at ERV growth, which has been over 4% reported by MSCI and indeed, our own portfolio has delivered that on an annualized basis for the first half, I think those are pretty impressive numbers in what we see as a relatively weak market. So I do think there's upside potential. And we think that, that vacancy rate will start falling into next year as a consequence of a reduced number of speculative development starts that we've seen recently.
Ian Brown: Great. A couple of very similar questions, which I'll try to aggregate into one, which is basically how does the company balance between acquiring large-scale Big Box warehouses and potentially smaller or more flexible logistics facilities?
Colin Richard Godfrey: Okay. It's a good question. So look, this isn't a precise science and one has to remain flexible. I think that there are 2 components to this. The first one is being opportunistic. And that's what we exhibited when we acquired the UKCM portfolio. We felt that it was really complementary to our business at a point in time in the market, which we felt -- looked attractive to us. And indeed, that has been borne out because it's performed exceptionally well, and we're completely on track with that. And as we sit here today, I think it's about 10% of our portfolio roughly is in smaller scale, last mile MLI type assets. So we're very much still -- the name over the door is still very much representative of the business, largely in larger scale Big Box. Just to remind you that for over 10 years, we had 100% rent collection record. We had zero vacancy in our portfolio, not one single day of a vacant building in 10 years. And I think that talks to the quality of our buildings and their locations, the modernity of them, the importance of them, the scarcity of them, and the quality of our customers that are underpinning that rent, many of which are world-class customers. You put all that together and you end up with a highly resilient income stream that supports our dividend. And so fundamentally, when we think about the relationship between size of buildings, yes, when you have smaller scale buildings, typically, the yield is tighter. You would expect stronger rental growth as a consequence of that because it potentially carries a high degree of risk. You will naturally have an element of vacancy because you want to be able to take buildings back, refurbish them create a new rental tone to use on that park to drive rents forward. So it's much more asset management intensive on the smaller-scale buildings. And that's wrapped up in the whole framework of how we think about those buildings. But the larger scale logistics assets, we have really deep relationships with our customers. We know what they're doing. We know why they want those buildings. They're investing in those buildings, often with automation, et cetera. And that's one of the reasons why they sign very long-term leases. So you see a very different lease profile for larger scale buildings than you do with smaller- scale buildings. So when we think about that in totality, what it does is it gives us the ability to provide a full suite service offer to our customer range right the way through from the smaller scale buildings in the urban environments, right up to the larger scale regional and national distribution buildings. And that's what our customers have been telling us that they want for quite some time. And that's one of the reasons that underpinned the UKCM acquisition and our further interest in urban logistics assets.
Ian Brown: Great. Thanks Colin. A question here. Are there any new strategic partnerships or collaborations that Tritax is pursuing to strengthen its market position or diversify its offerings?
Colin Richard Godfrey: Not currently, although we have and continue to consider such opportunities, both in terms of potential joint ventures, joint portfolio positioning, et cetera, et cetera. The one thing we've already reported, and I was talking in terms of a live situation, the one thing we've reported is our relationship with EDF on the data center platform, which is incredibly strong and very, very important to our Power First strategy and value delivery on data centers. And that's informed the way we positioned ourselves in data centers is very, very exciting. We have a close relationship with EDF, and we look forward to working with them on a number of projects over the coming years.
Ian Brown: Great. Now a question here. The results are impressive. Is there likely to be some dividend growth going forward? And if so, could you give a range?
Colin Richard Godfrey: Frankie, you got that?
Frankie Whitehead: Yes. Thank you for the question. So I think the largest statement that we've made, we made at the Capital Markets Day, we've reiterated this morning is with regards to growth in adjusted earnings out to the end of 2030, and that is a 50% target to grow adjusted earnings for that next 6-year period. So I think the way one could think about that is if you break that back in effect to an annualized growth rate, it's about 7%. Given the investment that we are making currently into the early stages of our data center strategy, there was a bit of a ramp-up in terms of the profile of that growth. So as we move through time, the growth rate is likely to accelerate. So one shouldn't just take a straight 7-year linear position and extrapolate that across the full time frame. Now that's an earnings target. And naturally, we pay out 90% of our adjusted earnings. So one should see our dividends and our earnings kind of progress in reasonable lockstep. So one could also translate that to a straight dividend positioning.
Ian Brown: Great. And perhaps one I can talk to here about the growing importance of sustainability and what in green initiatives or certifications the company adopting to enhance asset value and tenant appeal. It's probably worth beginning just building on what Colin was saying about the modernity of the assets that we have within the portfolio, and that's reflected in the strong EPC ratings that we already have. So you'll be aware that over 80% of our portfolio is rated B or above, which we think is probably one of the strongest in the U.K. And for those buildings that fall below that threshold, we have plans in place to bring that performance up to line. And unlike a lot of what I describe as sort of more traditional or legacy real estate assets, the assets that we own are actually very cost effective and easy to upgrade from an EPC perspective. So the incremental capital investment required to bring the rest of the portfolio up is particularly small. And the asset -- the capital we're deploying, which a lot of it go into roof-mounted solar actually delivers a very attractive return in its own right. So I think the sort of improving the environmental performance of the portfolio is a significant opportunity for us. The other point I would note as well is that it's very much the direction of travel for our clients as they want more sustainable buildings. And we see that very much in our development portfolio where our ability to build brand-new, best-in-class buildings that are incredibly sustainable is a key competitive advantage. And we announced shortly after period end, a letting to a global data management business. One of the main attractions for them of that site was the buildings environmental performance. So a lot of opportunity there, both in terms of building from a very strong foundation in terms of the ESG performance of our assets, but a lot of opportunity, I think, to continue to grow the business, generate value and also preserve value within the investment portfolio. Maybe a slight change of tack. We've had a couple of questions about buying opportunities, which I think we'll refer to as sort of asset acquisitions. Are you seeing opportunities in the market to expand our operations?
Colin Richard Godfrey: Yes. I think there's certainly signs that there's an increased level of liquidity in terms of assets and portfolios looking to come to the market. And we see virtually everything that there is to see both from an off-market point of view and what's being marketed. The -- we appraise everything. There's -- if you look at our track record, we bought very well. Historically, we typically bought a 50 bps discount to what we feel is the true market value of assets. We will continue to appraise those opportunities. But this really talks to the hierarchy of capital deployment within the business and how we see that on a risk-adjusted basis in terms of total return. So it's a pretty high bar for us in terms of acquiring standing stock. When one thinks about the yield on cost and total return that we can deliver both from logistics development, but more importantly, from data centers. And so 6% to 8% on logistics, which is trending in the 7s and upper 7s. And 9% to 11% on data centers for yield on cost and obviously, very significant levels of total return. So -- but none of those elements are sort of cannibalizing the other. And we do look to maximize returns from every component part of our business. And so you will see us having confidence in fulfilling our DC program and our logistics development programs, you will see us buying and selling investment assets, selling investment assets from time to time where we think that we can improve the quality of the portfolio and deliver increased returns for shareholders. And of course, the sales program that we've very successfully executed in recent years has been supportive of our CapEx desires in support of our development in logistics. And going forward, we'll be doing the same for DCs.
Ian Brown: Great. Quite an interesting question here. What is Tritax Big Box's perspective on emerging technologies such as autonomous delivery vehicles and how they might impact the logistics real estate landscape?
Colin Richard Godfrey: That's a good question. Well, obviously, we've got one eye on AI and its impact on DCs. And I think it's undeniable that we're just needing more and more and more data. So that's a really positive trend that we're locking into with all of the work that we put in over the last few years into data centers. As regards logistics buildings, I mean, they -- as human beings, we need physical things and they need to be stored and they need to be transported. They need protection from the elements and they need security. And that's largely what large-scale logistics buildings do. In recent times, they've been automated. So that part of the tech piece is absolutely manifest increasingly in buildings, and we're seeing even 3PLs now implementing that. And that can involve wall climbing, picking equipment on the racks, conveyor systems. You've seen the likes of Amazon employ the Kiva robotic systems, et cetera. Ocado with the Hive system in the buildings. We see RDF tagging frameworks and barcode scanning to monitor stock movements in the warehouse and outside of it. Improving stock control, understanding where that product is at a moment in time and ensuring that, that product doesn't -- isn't depleted through things like theft. So there's a lot that's taking place in our world. We, however, as landlords and investors in logistics properties, we typically own the envelope. And so we're not investing in that tech. Part of the reason for that is -- and the same philosophy applies to our powered shell approach in data centers is that we're not tech experts. Tech can go out of date very, very quickly. So the amortization rates that you would need to apply in that tech timeline can be very, very short. We are investing in assets that have a very, very long lifespan. And so we don't feel that they sit very well together. But obviously, we're supportive of our customers when they want to employ that tech within our buildings. But they are duty bound to put that building back in the condition it was when they originally took it if they do employ tech in the intervening period.
Ian Brown: I think just to add to that, I think the area that all -- what underpins all of the technologies that Colin has talked about is really access to power. So we're seeing across our portfolio requirements for power really increasing exponentially in part to power the autonomy that is increasingly in our buildings, but also as clients seek to decarbonize their vehicle fleets as well. So our kind of investment in our power capabilities not only have an incredible benefit for our data center pipeline, but actually underpinning a lot of this technology that's coming down the tracks has already been implemented with our clients in our logistics buildings to deliver the efficiencies and economies of scale that Colin alluded to.
Colin Richard Godfrey: So just one further point to add on to that, Ian. All of our buildings we're developing have EV charging for cars, increasingly for vans and HGV subject to the expected tenant use in the size of the building. And they are EV ready for every parking space. So that can be retrofitted or expanded in the future, all the wiring in place to deliver that. And I think that the question is a very pertinent one because it's expected that, that will rise quite significantly. And I think we're very well positioned to take advantage of that.
Ian Brown: And continuing on the sort of theme of power. Who are the competitors in the data center space? And what are they sort of forecasting?
Colin Richard Godfrey: Forecasting in -- do we know what that means?
Ian Brown: I think -- I suspect that's probably -- I mean...
Colin Richard Godfrey: Other listed peers? I think there's a risk, okay. So look, the market is quite fragmented and it's relatively young and it's in its infancy in terms of its growth potential. And I think we feel it has a very, very long way to go. That's partly evidenced by the slide that we showed earlier. And the market depth is essentially measured in gigawatts. So there's 1.1 gigawatt of current market size installed capacity. And as I said in my presentation, there's additional demand identified to 2029 of an additional 2.1 gigawatts. So that would kind of imply the market is going to sort of increase by 200% in the next few years. So there's a lot to play for there. I think that there will be new entrants to that market in terms of supply as well. So it's not a particularly mature market in terms of the number of players. I mean, obviously, there are some listed players and some well-known players that the viewers may be familiar with. But it's not a market that's -- I think it's a market that's going to grow. In terms of the listed space, I mean, SEGRO have a number of buildings in West London. I think slightly different than it's an existing stock platform that they own. That is a strong location for logistics in the U.K., but they're following a fully fitted model. And obviously, there are different risk return parameters attached to fully fitted versus powered shell. We are taking a powered shell route. We believe that risk return that is particularly attractive. We're targeting on most of our DC projects, double-digit yield on cost, which we feel for a powered shell route is particularly strong given that other parties in the European space in recent times have been sort of talking about similar numbers for a fully fitted model, which we feel carries a much higher degree of risk.
Ian Brown: And Colin touched upon the EDF relationship that we have. I think our key competitive advantage in the space is the quantum of power that we have and the accelerated timelines that we have to the delivery of that power. So particularly with our Manor Farm site to have 107 megawatts of power in the absolutely key Slough Availability Zone is a huge competitive advantage. So I think that is something that, again, the attraction of that is manifest in the level of occupational interest we've had. And as Colin mentioned in the presentation, 15 NDAs signed now with really the full spectrum of data center operators who ultimately will be our clients in these buildings, as Colin mentioned. I think that concludes -- I think that's all the questions we've got actually.
Colin Richard Godfrey: Great. Well, thank you very much indeed, everyone, for taking the time to join us this afternoon and your continued interest in and support of the team here in Tritax Big Box REIT. I wish you very pleasant afternoon. Thank you.
Ian Brown: Thank you for joining us today. That concludes the Tritax Big Box investor presentation. Please take a moment to complete a short survey following this event. The recording of this presentation will be made available on ENGAGE Investor. I hope you enjoyed today's webinar.